Operator: Good afternoon. My name is Leo, and I will be your conference operator today. At this time, I would like to welcome everyone to the KLA Corporation June Quarter 2022 Earnings Conference Call and Webcast. [Operator Instructions] I will now turn the call over to Kevin Kessel, Vice President of Investor Relations and Market Analytics. Please go ahead. 
Kevin Kessel: Thank you, and welcome to KLA's Fiscal Q4 2022 Quarterly Earnings Call to discuss the results of the June quarter and the outlook for the September quarter.  
 Joining me today is Rick Wallace, our Chief Executive Officer; and Bren Higgins, our Chief Financial Officer. During this call, we will discuss our results released today after the market close. You can find the press release, shareholder letter, slide deck and infographic on the KLA IR section of our website. Today's discussion is presented on a non-GAAP financial basis unless otherwise specified. Whenever references are made to full year business performance, they are calendar year references.  
 A detailed reconciliation of GAAP to non-GAAP results is in the earnings materials posted on our website. Our IR website also contains future investor events as well as presentations, corporate governance information and links to our SEC filings, including our most recent annual report and quarterly reports on Forms 10-K and 10-Q.  
 Our comments today are subject to risks and uncertainties reflected in the risk factor disclosure in our SEC filings. Any forward-looking statements, including those we make on the call today, are subject to those risks, and KLA cannot guarantee those forward-looking statements will come true. Our actual results may differ significantly from those projected in our forward-looking statements.  
 Our CEO, Rick Wallace will begin the call with some brief comments in our recent June quarter results before discussing our view of the semiconductor industry demand environment and then a few June quarter highlights. Bren Higgins, our CFO, will conclude with some additional financial highlights from the quarter as well as our outlook and guidance.  
 I'd like to now turn the call over to our CEO, Rick Wallace. Rick? 
Richard Wallace: Thank you all for joining us today. I'd like to begin with a few comments about the quarter. First, KLA continues to benefit from multiple growth drivers reflected in our June quarter results. Specifically for this quarter, our revenue of $2.5 billion was at the top end of our guidance range and up 29% year-over-year and 9% sequentially.  
 GAAP EPS was $5.40 and non-GAAP EPS was $5.81, both at the top end of our guidance range. The talented global teams at KLA have remained focused on responding to evolving customer needs and strategically navigating supply chain challenges. They are steadfast in their commitment to creating value for our customers, partners and shareholders.  
 Our teams continue to follow the KLA operating model as a guide to meet our challenges and benefit from the opportunities of an evolving market. Driving this performance, strong customer demand across major product groups, macroeconomic uncertainty and the resulting effects of consumer demand are areas we are monitoring closely.  
 Our customers have indicated some end markets, specifically PCs and mobile devices have softened over the past few months, and we have seen memory pricing in both segments weakened. While we have elevated concerns, we continue to see strong demand beyond our ability to supply from our customers with no material change in our shipment profile beyond the normal facility readiness issues and customers aligning tool deliveries with their production.  
 In assessing the full CY '22 WFE outlook, we have evaluated the persistent supply chain challenges and recently announced CapEx adjustment in the memory category. With this in mind, KLA's outlook for WFE growth in '22 has tempered. Bren will expand more on the details when he discusses the outlook.  
 We still see high single-digit WFE growth in calendar '22 and are confident in our ability to deliver relative WFE outperformance. We have supply chain challenges abate. This would be an additional upside. Process control is one of the fastest-growing segments of the overall WFE market. And as the market leader, KLA is in an inevitable position that fits the current demand landscape.  
 We see continued investment in technology at the leading edge and increased demand for legacy nodes. We also see growth in technology categories, including Advanced Packaging. These factors all support steady long-term growth for the WFE category.  
 We attribute KLA's consistent and strengthening market leadership to our focus on investing in innovation at a high level to drive differentiation through a unique portfolio of products and technologies that address the most critical process control challenges.  
 Our technologies help our customers drive their growth strategy. I'd like to now briefly summarize a few quarterly highlights. First, KLA continues to drive strong relative outperformance versus peers. In foundry/logic, simultaneous investment across multiple nodes remain a tailwind. In memory, even with some customers' investment signaled to slow, demand diversification remains strong across multiple other industries.  
 Second, our Wafer Inspection business again delivered impressive results in the June quarter as revenues grew 20% sequentially and 49% year-over-year. Third, KLA delivered record quarterly revenue from our Electronics, Packaging and Components business in the June quarter. Fourth, the KLA Services business surpassed the $0.5 billion quarterly revenue level for the first time as revenue was $512 million, up 15% year-over-year.  
 Finally, the June quarter was another exceptional period from the perspective of free cash flow and capital returns. We generated quarterly free cash flow of $746 million, amounting to 23% (sic) [ 82% ] year-over-year growth. We also announced a $6 billion share repurchase program and a 24% increase in our quarterly dividend level. Additionally, we increased our long-term targeted capital returns to 85% of free cash flow.  
 We remain focused on returning capital to shareholders versus -- via our dividend and stock repurchase programs. Also, this quarter, we introduced our new long-term revenue growth targets and financial model for 2026 at our June 16, 2022 Investor Day in New York City.  
 KLA's new 9% to 11% revenue growth objective through '26 features strong relative growth in each of our major business lines over that period. Our long-term model assumes a baseline semiconductor industry growth CAGR of 6% to 7% through 2026, with many forecasts today for the semiconductor market to exceed $1 trillion by 2030.  
 In summary, KLA's June quarter results once again demonstrate sustainable outperformance. Our consistent execution against various challenges in the marketplace, both in terms of macroeconomic uncertainty and in addressing persistent supply chain issues, highlights the resiliency of the KLA operating model, the dedication of our global teams and our commitment to assertive capital allocation and delivering long-term value to our stakeholders.  
 Chief Financial Officer, Bren Higgins, will now go through our June quarter financial highlights and outlook. Bren? 
Bren Higgins: Thank you, Rick. As Rick just said, KLA's June quarter results reinforce the success of our execution and strong market position. Revenue was near $2.5 billion. Non-GAAP gross margin was 62.4% and non-GAAP diluted EPS and GAAP EPS were $5.81 and $5.40, respectively.  
 Non-GAAP operating expenses were $514 million, below our expectation of $525 million, mostly due to the timing of new employees joining versus our plan. In addition, we also realized a cost benefit from the strong U.S. dollar impact resulting from our global footprint.  
 Total operating expenses comprised $297 million in R&D and $217 million in SG&A. Given the strong demand backdrop, rapid expansion over the last couple of years and our revenue expectations going forward, we expect to continue our important investment in our global infrastructure and systems to scale the leverageable KLA operating model to facilitate growth.  
 Our investments include new product development programs and volume-dependent resources to support our business expansion as we position the company to execute against our long-term structural growth thesis. As a result, we expect operating expenses to be approximately $530 million in the September quarter and we forecast quarterly operating expenses to continue to trend higher over the balance of 2022 to support our sequential revenue growth expectations.  
 We will size the company based on our target operating model, which delivers 40% to 50% incremental non-GAAP operating margin leverage on revenue growth over a normalized time horizon.  
 Non-GAAP operating margin was strong at 41.8%, almost 1 point higher than the guidance midpoint implied. Other income and expense, net, was $22 million, below guidance of $43 million, with the positive variance from guidance reflecting a gain on a strategic investment that was transacted in the quarter, offset by a recurring mark-to-market adjustment of a supply investment.  
 For the September quarter, we forecasted at approximately $75 million to reflect the impact of the new debt issuance. Quarterly effective tax rate was 14.8%, higher than the 13.5% guidance due principally to the equity market impact on deferred compensation programs. At the guided rate, non-GAAP earnings per share would have been $0.09 higher at $5.90.  
 We continue to guide 13.5% as the long-term tax planning rate. Non-GAAP net income was $867 million. GAAP net income was $805 million. Cash flow from operations was $819 million, and free cash flow was $746 million, resulting in a free cash flow conversion of 86% and a free cash flow margin of 30%.  
 The breakdown of revenue by reportable segments and end markets and major products and regions can be found within the shareholder letter and slides. Moving to the balance sheet, where we saw a lot of activity this past quarter. KLA ended the quarter with $2.7 billion in total cash, debt of $6.7 billion and a flexible and attractive bond maturity profile supported by strong investment-grade ratings from all 3 agencies.
 In June, S&P upgraded KLA 1 notch to A-, citing improved scale and outlook for further profitable growth. Later in June, we issued $3 billion in new debt and announced the completion of a tender offer for $500 million of senior notes due 2024. These actions reinforce that KLA maintains active and diligent oversight of our cost of capital, an awareness of the impact on shareholder value of the appropriate capital structure for our business and productive capital allocation. 
 As demonstrated by the new calendar 2026 financial targets and the capital return actions announced at our recent Investor Day, KLA has confidence in our business over the long term and is committed to a consistent strategy of cash returns that includes both dividend growth and increasing share repurchases. Consistent with this, we increased our long-term capital returns target as mentioned earlier. 
 Over the last 12 months, KLA has returned $5.5 billion to shareholders, including $4.9 billion in share repurchases and $639 million in dividends paid. Turning to our outlook. We have adjusted our overall WFE outlook for calendar '22 to reflect persistent supply chain challenges that are [ gating ] shipments and revenue recognition for many of our peers. 
 We now expect the WFE market to grow in the high single digits to approximately $95 billion in 2022, off a baseline of roughly $87 billion in calendar 2021. This outlook reflects the continued broad-based strength of demand across customer segments. While we work hard to manage capacity at KLA and with our suppliers, supply chain shortages continue to constrain our ability to meet customer demand. 
 While our supplier engagement strategy that we discussed at our Investor Day has been validated through this cycle, supplier visibility remains challenging and has not improved over the past 3 months. As indicated in the last couple of quarters, we continue to expect sequential growth through this calendar year and expect KLA's total revenue growth to meet or exceed the low 20% range, with Semiconductor Process Control systems growing several points faster than the company average. 
 Finally, we expect demand to continue exceeding supply during the calendar year's second half. KLA is in a position to deliver another year of sustainable outperformance in our Semi PC business, which should translate to strong relative growth overall. 
 Looking ahead, as indicated earlier, we're concerned with the macroeconomic environment and how it may affect the demand for our customers' products and their capacity plans as we move into calendar 2023. To date, the pressure from customers to deliver remains high and is driving our expectations for sequential growth through calendar 2022. 
 We're encouraged by the diversification and sustainability of our current demand profile and the company's operational execution. We are strategically adding capacity across our global manufacturing footprint to support our customers' growing process control requirements, our near-term outlook and our long-term through-cycle growth thesis. 
 Our September quarter guidance is as follows: Total revenue is expected to be in the range of $2.6 billion, plus or minus $125 million. Foundry/logic is forecasted to be approximately 64%, and memory is expected to be around 36% of Semi PC systems revenue. In memory, DRAM is expected to be about 40% of the segment mix and NAND, 60%. 
 We forecast non-GAAP gross margin to be in a range of 62% to 64%. Finally, GAAP diluted EPS is expected to be in a range of $5.28 to $6.38 and non-GAAP diluted EPS in a range of $5.70 to $6.80. The EPS guidance is based on a fully diluted share count of approximately 143 million shares. 
 In conclusion, despite the macro and supply chain headwinds, we see the secular trends driving semiconductor growth and investments in WFE as both durable and compelling over the long run. Broad-based customer demand and simultaneous investments supporting growing semiconductor content across technology nodes remains important trends in our industry. 
 These are long-term secular growth drivers for the industry as technology investment and the resumption of scaling reflects the value that semiconductors and our industry have in lowering our cost for our customers and enabling a broader application universe for semiconductor-based technology across multiple end markets. 
 When it comes to KLA, considering our track record of execution and the power of our portfolio, we have confidence in our ability to continue to deliver sustainable outperformance throughout changing economic periods. As we look at the leading indicators for our business, including our backlog and sales funnel visibility, we continue to invest in expanding our business infrastructure and the required capabilities to support our outlook and maintain our product development investments to enable industry growth and support our customers' multiyear investment plans. This provides an element of stability that shores up our confidence in the demand outlook for the future. 
 These factors, combined with the KLA operating model that guides our execution, position us to continue outperforming our industry as we execute our strategic objectives. These objectives fuel our growth, reliable operational excellence and differentiation across an increasingly diverse product and service offering. They are also the foundation of our sustained technology leadership, wide competitive [ moat ], industry-leading financial performance, long-standing track record of robust free cash flow generation and consistent and growing capital returns to shareholders. 
 That concludes our prepared remarks. I'll turn the call back over to Kevin to begin the Q&A. Kevin? 
Kevin Kessel: Thank you, Bren. We are ready to queue for questions. 
Operator: [Operator Instructions] We'll take our first question from Harlan Sur of JPMorgan. 
Harlan Sur: Congratulations on the solid results and quarterly execution. You guys lead times are quite long, where you guys have good visibility into next year. And I think even into, in some cases, 2024, you highlighted some of the demand headwinds in your prepared remarks and also maybe some of the early signals from your customers on there's sort of conservative CapEx spending plans going forward. 
 I know you're not seeing anything meaningful in terms of near to midterm shipment plans, but given your customers are all booking into next year, have you guys seen any changes in longer-term orders as a result of your customers' increasingly negative views on demand for next year? 
Richard Wallace: Yes. Harlan, thanks for the comments and the question. I would say that certainly in the near term, we've seen no changes from our customers. In fact, the pressure is as high today as it was 3 months ago. And our adjustments to the near-term WFE were really related to some of the challenges that a lot of our peer companies are facing in terms of their ability to either ship tools or recognize revenue, and that would have an impact on WFE given the expectations for the second half -- in terms of growth in the second half versus the first half. 
 It's too early for us to call '23. Certainly, we're monitoring what we see there. As we think about our planning and as we move into -- as we move outside of this year from -- at least from where we sit today, we see a sustainability in our output levels as we move into the first part of '23. 
 Now we'll have to watch and see what our customers end up doing and particularly some of the challenges in the memory space and what that might mean. But at least from where we sit today, we see no real churn in the backlog and in expectations in terms of delivery timing. 
Bren Higgins: Yes, even to add to that, Harlan, one of the things we have seen because obviously, we've been talking with customers recently and they're -- they know we're aware of some of the talk is that they're telling us basically 2 things. One, keep our slots. And two, if somebody else's spot opens up, could you please give it to us. So what we're seeing for process control feel like we're probably a little bit in a different position than the process players are. 
Harlan Sur: Great. And in the event of WFE decline next year, you've got several positive buffers, right? And I feel like one of the biggest ones is that your Services business historically does not decline during downturn. So like if I look back over the past 20 years, I think there's only been 1 year that your Services business has been down. And then more near term, I think over the past 4 downturns, the KLA team has actually grown its Services business in all 4 of those downturns. 
 So outside of the stable annuity-like subscription service contracts, and I know you guys talked about expansion on services opportunities on legacy nodes like -- what else has allowed the team to grow its Services business in periods where WFE spending is weak? And what's the historical track record on the EPC Services business during downturns? 
Richard Wallace: So kind of 2 questions you threw in the EPC, one at the end. Let me start with the process control one. Often what we've seen historically in downturn is customers still want to get productivity. And one of the ways they do that as they focus heavily on yield improvement and process stability. So we actually see utilization stay high on the services in order to keep the tools capable. And sometimes they'll actually deploy some of their limited budget toward upgrading the installed base. 
 In terms of EPC, obviously, we've not really been through a cycle with that. So it's a little bit secondhand knowledge. But it depends on the segment that they're in, in terms of -- but as you know, as a percent of our overall business, that will not change the dynamic that we see overall for our Services business -- should we hit some headwinds going into next year. 
Bren Higgins: The only other thing I'd add, Harlan, is that we're seeing investment across multiple nodes. And so from a leading edge point of view, certainly, the complexity of the tools that are going in to support those markets, the drivers of those markets particularly around data center and high-performance compute will drive our customers to -- given how they buy process control to want to keep these tools up and use them as they're trying to navigate through these technology transitions. 
 And so that's an important aspect of the value that we add. So even if they're pulling back on some of the capacity investments they might be making, they're still investing in R&D and ramping facilities. And the wafer start goals within a particular time frame may just change. 
 If you think about within memory or even within some of the trailing edge areas, those areas are areas where process control intensity tends to be a little bit lower. And so I think just in terms of how we see the investment play out, those are areas that we're less exposed [indiscernible] don't think that they would impact the business to the degree that they might impact other more capacity-centric players. 
Operator: Our next question comes from Krish Sankar of Cowen. 
Robert Mertens: This is Bob Mertens on for Krish. My first question was just around if you could provide any color on a potential impact to the business in terms of shipments to China, if there were any sort of restrictions what this might look like, whether [indiscernible] sub-14-nanometer shipments, just sort of how you're thinking about that? And then I have 1 follow-up. 
Bren Higgins: Well, specific to that question. And of course, there was some -- I know some of our peers have gotten this question as well. But we did receive a notification from the U.S. government about new licensing requirements for China related to sub-14-nanometer development and production. 
 Of course, we'll continue to engage with the government and have an active dialogue and we'll fully comply with all applicable laws in guidance here. I would say that given the lead time and timing unpredictability of new licenses, that this has no effect on our guidance for the upcoming quarter or our comments on the remainder of '22. 
 And I would say, as I look at the funnel over the next 12 months, given where investment is happening and what we expect, we don't see any material impact to our business from this new requirement. So I don't want to speculate on what else could happen. But based on what we know today and what we've been asked, that's mostly what I have to say about the topic. 
Robert Mertens: Okay. That's helpful. And then just real quick, have you provided in the past, the breakdown between domestic and international shipments to China? if I remember correctly, maybe you mentioned domestic customers were more skewed towards smaller foundry players. Is that a fair assumption? 
Richard Wallace: Yes. That's still true. The multinational activity in China is more mature. And so most of our business is in China, it tends to be native China as it relates to Semiconductor Process Control. So within Semiconductor Process Control systems, about 25% or so of our shipments are to China. 
 And now overall, for the whole company [indiscernible] service and you include other parts of the company and EPC and so on, you end up closer to -- in this last quarter, it was 29%. Most -- so most of the business is there and most of it is across multiple projects. There's a lot of projects. They tend to be more foundry/logic. You also have investment in infrastructure related to reticle infrastructure and wafer infrastructure. And so there's investments that are happening there, and we have products that serve those parts of the market as well. 
Operator: Our next question comes from Joe Quatrochi of Wells Fargo. 
Joseph Quatrochi: I was wondering if you -- Bren, if you go through kind of the puts and takes on gross margin this quarter and how we should think about cost pass-through this quarter and what's embedded in the guidance? 
Bren Higgins: Yes, it pretty much played out the way we expected. We had more EPC revenue quarter-to-quarter as we had a record quarter in EPC, and that was a little dilutive from a mix point of view. Certainly, the challenges related to supply chain and what that means in terms of factory efficiency is also a bit of a drag on our margins. But we had modeled that in for the most part. 
 And I think the guidance midpoint was 62.5%, and we were at 62.4%. So pretty much as we had expected. As we look at the September quarter, most of the growth is coming from our -- in fact, all the growth and then a little bit because I would expect EPC to be down some quarter-on-quarter, it is coming from Semi PC, it's a richer mix. 
 And so we'll see that go up about 50 basis points or so at the midpoint. We are seeing pressure from cost increase, both in terms of parts but also in terms of freight and logistics and I think that's taking away some of the -- what you would expect to see in terms of incremental leverage in an expanding revenue environment like we're in. So it's offsetting some of those benefits. But at the end of the day, we felt like we'd be operating somewhere around 63% through this year, and that's been the guidance I've been giving and we're, for the most part, in line with that. 
Joseph Quatrochi: That's very helpful. And then maybe I missed it, but what was the mix of DRAM versus NAND for this quarter? I know you did it for the September quarter guide. 
Richard Wallace: Yes. So 45% was memory, and the mix was 2/3 DRAM. 
Operator: Our next question is from Patrick Ho of Stifel. 
J. Ho: Congrats on the nice quarter. Maybe first off, in terms of leading edge versus trailing edge foundry/logic, obviously, I think a lot of your leading edge customers are still powering through with their investment plan. It's more the question of timing of when they can get tools. 
 Can you characterize what you're seeing on the trailing edge given that there's a lot of noise around that. Have you seen any changes in that marketplace? Or are investment plans for that device marketplace still on track on a going-forward basis? 
Richard Wallace: Sure. And yes, you're right. The leading edge guys are continuing, and we don't expect -- in our conversations with them, we don't expect any change in that. In terms of the trailing edge, it's not really been a big part of our business. And as we look forward, we're still struggling with demand -- with supply for some of them. 
 And so actually, the conversations we've been having have been more about them asking if they could accelerate deliveries than changing the profile. So given the conversations we've had and their desire to upgrade their facilities, it's not really a change in our profile. It may soften, but it hasn't yet. And in fact, if anything, a comment I made earlier, people are asking if [ slots ] open up, could they get access to them, and that's really been more of the conversation that we've been having because some of the products that they need, especially in the trailing edge, tend to be [ BBP ] kind of oriented products where we have tremendous demand. 
Bren Higgins: And the other thing I would add is about 80% of the revenue tends to be leading edge. So where we are selling to the trailing edge do have customers that are strategically trying to in-source more, so they're making more investments and longer-term investments. 
 And as specifications for end products are changing that could change process control requirements. But generally, if they're just expanding capacity to run parts that they've been running for a long time that are just inflecting as a result of the strong demand environment, you don't see real significant changes in process control intensity. They just add their process control equipment as they're expanding the wafer starts in a particular facility. So that drives the process control intensity that's fairly light. 
 Now over time, I think what's happening in the end markets is creating some opportunities for us but it's less of an impact in terms of the financial or the revenue contribution from those customers to KLA. It's great revenue, and its profitable revenue given that we're selling older platforms or platforms that we've been able to extend into those markets. But the big driver for our business is much more around leading edge than what we're seeing in the trailing edge. 
J. Ho: Great. That's really helpful. And Bren, maybe as a quick follow-up question for you. You guys have done a really good job of managing through the supply chain issue that the industry and the ecosystem has seen. The costs are obviously elevated, whether it's freight and logistics, the movement of components and things of that nature. 
 How do you look at the cost environment over the next several quarters? Is this something that we're just going to have to assume at least through the rest of '22 and possibly into '23. 
Bren Higgins: Yes, it's a good question. And of course, everything is more expensive. And so we're seeing that flow through earlier than prior quarters, maybe the last quarter, the quarter before, I talked about this year, expecting to see 100 basis point kind of impact, 1 point or so from incremental cost increase. And if you add freight into it, it's probably a little bit higher than that. 
 And so we are seeing that [ play ] through. Generally, when prices go up, they don't necessarily go down. And so we're not really planning on it. And we'll have to -- as I said at Investor Day, there's work for us to do in terms of how we think about [indiscernible] this overall. 
 Our products, generally, we're a value sell and so we think about the returns our customers are getting from our products, and we try to share in the value of that return. And part of our new capability cadence in terms of how we offer that to the market, it's managing not only new capability from a competitive point of view is important to that, but also what it means to financial model in terms of an opportunity for us to reassess the cost situation in a particular tool and how cost of ownership plays out in terms of the improvements that we're offering and how we will share that. 
 So we're being opportunistic where we can. Certainly, we're not benefiting from the revenue expansion from a scale point of view. And so we're not giving discounts related purely to volume to the extent that we have in the past. And so we're resetting some of that with our customers. But in general, I think it's much more about the value offering and how things -- kind of how things are priced over time. 
Operator: We'll take our next question from Atif Malik of Citi. 
Atif Malik;Citi Investment Research (US);Analyst: I had a question on CHIPS Act, and I understand it's early. It looks like equipment companies might be able to get money to expand manufacturing of equipment in the U.S. with priority going first 2 companies that already manufactured in the U.S., and I understand you guys have manufacturing both the inside the U.S. and outside. And how would this change, if at all, your long-term manufacturing strategy? 
Richard Wallace: Thanks for the question. It doesn't really change our strategy. We're not going to make decisions based on that. We're going to make decisions as we always have, based on where it makes the most sense for us to build the products to support our customers where we can get the talent and where we can have the supply chains that we need. So it will not impact our decision making. 
Bren Higgins: You also [indiscernible] that we're fairly asset-light. So to the extent that we're building or expanding our facilities anywhere, it's really about space more than anything and some equipment. So it isn't -- it's very [indiscernible] our customers in terms of significant billions of dollars investment in a production facility. 
 So to Rick's point, it's much more about the operational motives that we have in terms of why we build, what we build, where. And incentives, whether they come in the form of grants, they come in the form of taxes or secondary. Obviously, we always optimize for wherever we are, but the primary motive is very operational for us. 
Atif Malik;Citi Investment Research (US);Analyst: Great. As my follow-up, Bren, 19 years ago, you were talking about EPC systems growing 20% for the year, and I understand June was a record quarter. Are you still looking at 20% growth for the EPC systems for the full year? And how are you -- what are you seeing in the mobile segment versus the auto segment of that end market? 
Bren Higgins: Yes. That's a great question. Auto is -- continues to be strong, auto and power, but we have seen some pressure, particularly in the PCB part of the business, driven by the softness in the mobile market. 
 I would expect EPC systems to be in the mid-teens in terms of growth this year, a little bit stronger in the second half versus the first half just as the whole company is a little bit stronger. But yes, it's mostly been -- we've seen strength and improvement in SPTS, or Specialty Semiconductor given its exposure to automotive and power, but we've seen some softness on the PCB side. So net-net, still nice growth, mid-teens growth, but not 20%. 
Operator: [Operator Instructions] We'll take our final question from Vedvati Shrotre of Jefferies. 
Vedvati Shrotre: I just wanted to go back on something that was asked earlier. So you mentioned that your customers are sort of looking for slots in case any opens up. So can you help me understand how that works. So if you get a push out from your customer, does that mean that slot is sort of close and the customer has to go back in the line. Is that a right interpretation? 
Richard Wallace: Yes. So I think our customers have the same kind of question you do. It doesn't really work that way. I mean, what they really want to do is move up the priority list. But as we keep explaining to them, we have far more demand than we have supply. And while we're working hard to expand it. So it's just the question of can we get things done sooner? 
 And that's really what they're asking is can you tell? But my point is that is for many customers, the way they're approaching this, they're hopeful that this will give them a chance to get some of the products that are pretty far out in delivery. That's kind of the way to think about it. It's not really exactly the same. We do have allocations for people, but there just aren't no free slots. 
 So if somebody were to drop out of the queue, the next person would just move up in terms of is the way that would work. So it's not -- people aren't going to jump ahead in the line. 
Vedvati Shrotre: Right. And so if I understand correctly, so if -- in case if there is a pushout and not a cancellation, does that necessarily open up a slot or a push out can be different from...? 
Bren Higgins: So if somebody had a December slot right now, and they said, we don't need that until June. The next person in line in December would get that slot, and they would be fit in somewhere in June. And they're likely our customers that have slots in June that would love to have a slot in December. 
 So given the lead times on some of our products. So that's the natural churn we see. And a lot of it is tied to sometimes facilities and facility readiness. It also can be tied to whether they receive certain tools from other customers as they're setting up -- or other suppliers as they're setting up their production lines. 
 So you always see a little bit of movement like that. But to Rick's point, we're underserving the level of demand we have. And so customers are having to get in line a long way out in a lot of cases. And so the ability to satisfy that demand earlier would be an opportunity for a lot of our customers that they would certainly want to take advantage of given the strength of the demand that they have seen, but also their desire for these products and our constraints around them. 
Kevin Kessel: Thank you, and thank you, everyone, for joining us. We know how busy of a day it is today in terms of earnings. So I appreciate your time and interest. With that, I will turn the call back over to Leo to close it. 
Operator: This concludes the KLA Corporation June Quarter 2022 Earnings Call and Webcast. Please disconnect your line at this time, and have a wonderful day.